Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Encore Capital Group's Q1 2021 earnings conference call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session [Operator Instructions] Thank you. I'd like to turn it over to Mr. Bruce Thomas, Vice President for Investor Relations at Encore. Sir, you can go ahead.
Bruce Thomas: Thank you, Operator. Good afternoon and welcome to Encore Capital Group's First Quarter 2021 Earnings Call. Joining me on the call today are: Ashish Masih, our President and Chief Executive Officer; Jonathan Clark, Executive Vice President and Chief Financial Officer; Ryan Bell, President of Midland Credit Management; and Craig Buick, CEO of Cabot Credit Management. Ashish and Jon will make prepared remarks today, and then we'll be happy to take your questions. Unless otherwise noted, comparisons made on this conference call will be between the first quarter of 2021 and the first quarter of 2020. In addition, today's discussion will include forward-looking statements subject to risks and uncertainties. Actual results could differ materially from these forward-looking statements. Please refer to our SEC filings for a detailed discussion of potential risks and uncertainties. During this call, we will use rounding and abbreviations for the sake of brevity. We will also be discussing non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are included in our earnings presentation, which was filed on Form 8-K earlier today. As a reminder, this conference call will also be made available for replay on the Investors section of our website, where we will also post our prepared remarks following the conclusion of this call. With that, let me turn the call over to Ashish Masih, our President and Chief Executive Officer.
Ashish Masih: Thanks, Bruce, and good afternoon, everyone. Thank you for joining our earnings call. The first quarter for Encore was a period of strong operational and financial performance as we continued to execute on our strategy, improve our balance sheet and focus on our capital allocation priorities. To better understand our results, let's begin with some important highlights from the first quarter. The principal driver of our financial performance was our record collections in Q1. Since the beginning of the pandemic, especially in the U.S., consumers have been contacting us at a much higher rate resulting in a higher level of inbound call traffic and online digital interactions. This consumer behavior accelerated in the first quarter, generating significantly more collections than we had anticipated, and has continued into the beginning of Q2. Although it's uncertain how long this will last, the result was nearly $30 million of incremental GAAP net income for the quarter or approximately $1 of incremental GAAP earnings per share. The higher level of collections from Q1 drove improvement in a number of aspects of our business including higher cash flow, reduced cost to collect, lower leverage and higher returns. The consumer behaviors that are driving such strong collections are also resulting in lower delinquency and charge-off rates for the banks and credit card issuers who sell portfolios to us. Having said that, we continue to see each of the U.S. banks who were selling before the pandemic remain in the market as sellers. In Europe, most sellers are now back in the market as well. However, even though the banks are still selling, they are simply selling less, because there are fewer delinquent accounts and subsequently fewer chargeoffs. On a global basis, our portfolio purchases were $170 million in Q1. Despite the subdued supply in the market, which has begun to impact portfolio pricing, we have remained disciplined and continue to purchase at very attractive returns. We have worked diligently over the past several years to improve our collections effectiveness and cost efficiency, and that has in turn allowed us to mitigate the impacts of higher market pricing on our returns. As a result, in comparison to our peers, these competitive advantages enable us to deliver higher returns. A quarter ago, we articulated our capital allocation priorities for the business. You may recall that we listed three priorities, including share repurchases. In recent quarters, including Q1, we have generated a significant amount of excess capital. We have reduced our leverage to the low-end of our target range of 2 to 3 times. As a result, in line with our capital allocation priorities, we repurchased $20 million of Encore shares during the first quarter. In addition, we have increased our share repurchase authorization from prior $50 million program to a $300 million multi-year program. We will continue to allocate capital according to our stated priorities and any future share repurchases are subject to maintaining our strong balance sheet, liquidity, and the continuation of our strong financial performance. To further describe our results for the quarter, I would like to anchor the conversation to our strategy that we have previously outlined and that allows us to consistently deliver best-in-class financial performance. Our core business is relatively straightforward. Our objective is to purchase portfolios of non-performing loans at attractive cash-on-cash returns, using the lowest cost of funding available to us. We also strive to exceed our collection expectations for each of our portfolios, while ensuring the highest level of compliance and consumer focus, as well as maintaining an efficient cost structure. We achieve these objectives by maintaining focus on our 3-pillar strategy. Our strategy enables us to consistently deliver outstanding financial performance, has positioned us well to capitalize on future opportunities, and is instrumental in building long-term shareholder value. The first pillar of our strategy, Market Focus, leads us to concentrate our efforts on our most valuable markets with the highest risk-adjusted returns. Our largest and most valuable market is in the U.S. MCM demonstrated improved operating leverage in the first quarter as we grew collections to a record level while continuing to drive a higher proportion of collections through our cost-efficient call center and digital channel. While this transition has been underway for a few years, it picked up pace over the past several quarters and accelerated again in Q1 as more of our consumers are calling us and connecting with us online to resolve their debts. The impact of this transition is apparent in the increased effectiveness and scalability of MCM's collections operation. In the first quarter, we grew collections by $61 million dollars compared to Q1 of 2020, while incurring only $2 million dollars of added operating expense. While it's not clear how long this specific consumer behavior will last, the changes we have made operationally will benefit us in the long term. These factors combined would drive a significantly lower cost to collect in the quarter. Although the impacts of the pandemic have reduced the supply of portfolios for purchase, the capital we did deploy continues to be at attractive returns. The industry rules announced by the CFPB are now expected to become effective in early 2022. As a result of our expertise in compliance and risk management, we are well-positioned to fully implement these new rules. Turning now to our business in the UK and Europe. Our collections performance continues to normalize after a few quarters of COVID-related volatility. Collections in the first quarter grew 13% compared to Q1 last year and exceeded our expectations by 8%. Deployments of $78 million were higher compared to the first quarter last year, with portfolio prices generally returning to pre-COVID levels. Most major sellers in the UK and Europe are now back selling in the market in some capacity, though we expect supply to remain inconsistent over the foreseeable future. Our competitive platform enables us to consistently generate significant cash. Our cash generation for the 12 months ending in March increased 12%, reflecting the steady improvement in our business, the efficiency of our operations and the resilience of our portfolios. Our consistent growth in cash generation has contributed to a reduction in our borrowings and leverage ratio. Our strong cash generation also provides us with additional flexibility when we consider our capital allocation priorities, which include portfolio purchases at attractive returns, strategic and disciplined M&A, and share repurchases. Our competitive advantages also allow us to deliver differentiated returns. A quarter ago we began to emphasize the importance of ROIC, which ultimately takes into account both the performance of our collections operation as well as our ability to appropriately price risk when investing our capital. We believe that it's important to demonstrate that our underlying business delivers strong long-term returns that we can maintain through the credit cycle. Our ROIC performance in the first quarter, and over the last 3 years, is a solid indicator of improvements in our business and our ability to deliver strong returns under current market conditions as well as over time. We continue to believe it is difficult to find such attractive returns at other companies in or around our industry. The third pillar of our strategy makes the strengthening of our balance sheet a constant priority. We believe that a strong balance sheet is critical to success. Our continued focus on further strengthening our balance sheet has enabled us to reduce our debt-to-equity ratio to 2.5 times and reduce our leverage ratio to 2.1 times, which is now at the low end of our targeted range of 2 to 3 times, and is near the lowest in the industry. Our strong operating performance and focused capital deployment have driven higher levels of cash flow, which in turn has led to leverage reduction. As a result of our financing accomplishments over the last year, we have significantly lowered our cost of funds, and we believe we have established a best-in-class capital structure that will allow us to capitalize on future opportunities. I'd now like to hand over the call to Jon for a more detailed look at our financial results.
Jonathan Clark: Thank you, Ashish. In the first quarter, very strong collections along with expense control drove higher revenue, net income and returns. Importantly, the resulting strong cash generation, combined with the subdued market for purchases, led to a significant drop in our leverage ratio and slightly lower ERC. Collections were a record $606 million in the first quarter, up 15% compared to Q1 last year. MCM collections grew 16% in the first quarter, to a record $436 million. Within that total, MCM's call center and digital collections grew 25% compared to Q1 last year. Cabot's collections through our debt purchasing business in Europe in the first quarter were $163 million, up 13% compared to Q1 last year. Encore's global collections in the first quarter achieved 117% of our ERC as of December 31, 2020. Revenues in the first quarter were up 44% to $417 million, compared to $289 million in Q1 last year. Recall that a year ago, the uncertainty surrounding the coronavirus pandemic caused us to push out our collections forecast, which suppressed our revenues in the year ago quarter. In the first quarter this year, revenues in the U.S. were up 38% to $288 million. In Europe, first quarter revenues were up 63% to $124 million. Our Estimated Remaining Collections at the end of Q1 was $8.3 billion, down 2% compared to the end of Q1 last year, primarily as a result of very strong collections performance during the past year as well as lower portfolio purchasing during this same time period. Our global funding structure provides many benefits to Encore, including lower funding costs, extended maturities and more capital diversity. We now have access to more funding sources than ever to optimize our capital structure over time. In the first quarter, we repaid $161 million of outstanding principal on our convertible notes that matured in March using available liquidity. As a result, we've reduced the amount of convertible debt in our funding structure by $250 million over the last 12 months. Available capacity under our global RCF was $530 million at the end of the first quarter, and we concluded Q1 with $162 million of non-client cash on the balance sheet. The importance of financial flexibility and access to a variety of capital sources cannot be overstated in a business like ours. With this flexibility, we are well prepared for the opportunities that lie ahead. With that, I'd like to turn it back over to Ashish.
Ashish Masih: Thank you, Jon. As we look ahead to the rest of this year and beyond, I am excited about what we have accomplished as well as what the future holds. With our global funding structure now well established, we remain focused on executing our strategy, which we believe will continue to be instrumental in driving strong results and building long-term shareholder value. I'd also like to highlight our financial priorities which we articulated in our February report. Our strong financial performance in Q1 improved our standing with respect to our balance sheet objectives, which include preserving our financial flexibility, targeting leverage in a range between 2 and 3 times and maintaining a strong double-B debt rating. Consistent with our capital allocation priorities, we purchased portfolios at attractive multiples in the first quarter, guided by our disciplined approach. And as I mentioned earlier, in the first quarter we repurchased Encore shares in addition to receiving board approval to expand our repurchase authorization. Finally, with regard to operating and financial performance, our returns remain very strong and we intend to deliver strong ROIC through the credit cycle. I'm excited about our business in 2021. We continue to operate at a high level with a solid liquidity position and a strong, flexible balance sheet, which will allow us to capitalize on future opportunities. Now, we'd be happy to answer any questions that you may have. Operator, please open up the lines for questions.
Operator: Thank you so much. [Operator Instructions] Our first question is coming from the line of David Scharf from JMP Securities. Your line is open.
Bruce Thomas: David? David, you there?
David Scharf: Hello, can you hear me?
Ashish Masih: Yes, David, we can now.
David Scharf: Okay. Thank you. Hey, a couple things just to start out. Ashish, I mean, obviously, the macro backdrop is largely unchanged from the last few quarters. But operationally, I'm wondering, can you - I may have missed it - but can you provide more insight into perhaps what percentage of collections is represented by digital now? And, I guess, at what point should we start to think about it as almost a reportable collection channel, the way you've historically broken out call center and legal?
Ashish Masih: Hi, David, so a good question on digital. As we've said over time, it is something that's growing. Consumers have preferred the channel as they've worked with the banks. And what we are reporting is, because of the way digital says it's a multi-channel on omni-channel experience, right? So it works in concert with a call center. And some things may start digitally, but end up on a call center or start in a call center. And you kind of go online at the same time. So it's tough to break it out. I mean, so what we provide is a call center and digital channel, share, and we do it by line of business. So that's been growing, as you noted, over the years, especially for MCM with much more of a homogenous mix. It's a majority of our collections are now coming from that channel. This quarter it's because about 62%. Several years ago it used to be less than 50% actually, so. So that's what we break out. That's what makes sense in terms of how to think about channels.
David Scharf: Got it. And is there anything that stands out about perhaps the profile of the consumers that are seem to be more willing to engage digitally? I mean, do they tend to be higher balance accounts versus lower balance that you're servicing, ones that may have had higher FICO scores pre-charge-off or is it pretty broad-based?
Ashish Masih: It's pretty broad-based as consumers have gotten comfortable. And as I said, they're very used to dealing with the financial institution or the credit card company digitally. And they just - as we've seen increased engagement, especially in Q1. And that trend was happening even more last year. But Q1 accelerated, and lot of consumers calling, but also just going online and engaging. So it's pretty broad based across different balances and issuers and whatnot.
David Scharf: Got it. Shifting, clearly different topic, I guess, regulatory looks like the CFPB, under kind of the new regime is, once again, delaying implementation. But the collection rules - but are you hearing anything, either out of Washington that could potentially be changed in what they're contemplating? And in addition, is there anything in any state level that we should be aware of?
Ashish Masih: So on the federal rules, we've not heard anything. All we've heard is that proposed 2-month delay and there is a comment period for that. Our view is that, we do not need the delay and our understanding of most of the industry players and trade association is that we do not need the delay. But if it is, it would delay implementation from November 3 to, I think, January 29, 2022, something like that. So we've not heard any other potential changes or anything toward that. On the state front, nothing major new, I mean, just given the number of states has always some of the other activity happening in different states here and there, but nothing major on the horizon. That's concerning or a big change for us. That's a regulation.
David Scharf: Okay. And then, just last question, curious in this supply demand environment, where at least kind of near-term, delinquencies remained at record lows and charge off volume? Obviously, light, our sellers less willing to enter into flow agreements. I'm wondering, in terms of the amount of visibility you have through the end of the year. Is it decreased not just based on the overall weakness in the market? But do you find that there are fewer opportunities to get sellers to commit to certain volumes over certain periods of time and flow arrangements?
Ashish Masih: So, no, I mean in U.S., I think the behavior is very consistent with prior years. There's generally flows, and sellers are doing that. Okay. They also have certain bulk portfolios at times, which they still bring to market. So, no change, they always have a range of volume for typical flow agreements. So typically, as you can imagine, at this time, the volumes that are actually coming in are toward the low end of those ranges. So we have not seen any changes in their design or propensity to enter or not enter forward close. All the sellers in U.S., who were selling pre-pandemic are still selling into the market.
David Scharf: Got it. Understood. Great. Well, thank you.
Ashish Masih: Sure.
Operator: [Operator Instructions] Next question is coming from the line of Mark Hughes from Truist. Your line is open.
Mark Hughes: Yeah. Thank you. Good afternoon.
Ashish Masih: Hello, Mark.
Mark Hughes: The 117% performance relative your expectations, can you break that out U.S. versus Canada?
Ashish Masih: The percent - you mean the performance versus our ERC expectations? Mark, is that what you're referring to?
Mark Hughes: Correct. Yes.
Ashish Masih: Yeah. So U.S. was 121% and Europe was 108%.
Mark Hughes: Okay. And then the share repurchases, is there a way - should we assume that since you're at the low end of your leverage target range that whatever cash you generate kind of above and beyond would likely the used for share repurchases. Is that a reasonable way to think about it?
Ashish Masih: Generally the priority, as you just mentioned, is a reasonable way to think about it. We are generating excess capital over the last few quarters. And on the balance sheet side, you're absolutely right. We are the lower end. So as we allocate capital, I just wouldn't assume that all the capital, as I think you mentioned. So - but, you're absolutely right. As we look to buy portfolios, which as our first priority, we'll do that. Any M&A that may come across, it's just has a high bar for us, by the way. And we will be focused on repurchasing shares with the excess capital, of course, all the while maintaining focus on a strong balance sheet, ensuring we have liquidity and continuation of strong financial performance. So those are conditions that will allow us to continue repurchasing shares.
Mark Hughes: Okay. And then you had mentioned the dollar and incremental GAAP earnings. Was that associated with the outperformance in the quarter, which is to say maybe the underlying performance was $1 less, which would have been consistent with, I think, what you discussed last quarter, is that the right way to think about it?
Jonathan Clark: Yeah, Mark, it's Jon. Yeah, I would look at that way. But just to kind of recap, could make sure we're synched up, as Ashish had mentioned, consumers have been contacting at us at a much higher rate. The inbound call volume has been high and strong digital interactions as well. So we saw that behavior accelerates in Q1. And it's continued into Q2, although, it's uncertain how long it will last. The result is, as you pointed out, a $45 million incremental revenue benefit in Q1. And that can be seen obviously in our changes to unexpected current and future recoveries. And as you pointed out, this approximates $30 million, translates to roughly a buck. And so we still feel comfortable with what we said in Q4 run rate of approximately $2.10. But I want to be clear, this is only run rate. And, obviously, our performance has been and will continue to be heavily influenced by macro factors outside of our control. We can obviously control and expect that we will, our operational performance and our balance sheet strength, as Ashish mentioned. But we can't control everything as much as we'd like to think we can. So a run rate of $2.10 on a go forward basis would still be our touchdown.
Mark Hughes: I'll ask you this question, though I think it's something, I should do the math on. But if - what's the - from an EPS at $2.10 standpoint, what is the - is there any difference point between share repurchases and new portfolio acquisitions? I think he would always prefer to grow the business and, so maybe in different points of that word, but a bad way to phrase it. But in terms of that and run rate, obviously, if you're buying less in terms of portfolios, then that has a negative impact on the run rate. But if we're using extra capital to buy back stock, that's good for EPS, if not net income. So anyway for us to think about that the offset there, if you're buying back more stock rather than buying portfolios?
Ashish Masih: Yeah, Mark - sorry, I interrupted you. This is Ashish. I'll take a stab at it, and Jon can jump in. So the run rate that Jon mentioned, that was something we kind of described in the last quarter's call as kind of when you looked at 2020. And we took out the one-time charges from the financings and CFPB payment, that's what that yielded. We do not make any assumptions about future repurchases in any of these run rate calculations. So it is kind of inherent in the business, what we talked about last quarter. I don't know if that helps.
Mark Hughes: It does. It was a question I don't think you'd be in a position to answer in this sort of forum. The - might have touched on this, just said the monthly collections trends, it sounds like April continued to be good. No reason to think that it's a peak early, and then, tapered as time went along. Was it relatively, this over performance was it steady throughout the quarter or didn't have any obvious monthly trajectory?
Ashish Masih: So we just have April information that we use to provide that commentary. So it continues to be strong. In the U.S., as you know, there's a tax kind of seasonality. And I think tax refunds and tax deadlines are somewhat delayed this year. So what would have been earlier peak is likely to be a lower peak. Now, all of that is kind of part of the broader phenomena that's happening to the consumer. In a time like this, U.S. consumers are behaving in a very unusual way, as banks are discovering as well. So they have very high savings rate. They're taking care of the debts with companies like us, but also their existing current balances on the credit cards and other loans. So that consumer behavior is kind of outside the normal year-over-year kind of performance we have seen, but the tax portion of it, Mark, is definitely somewhat delayed this year.
Mark Hughes: Yeah. And then, how about - final question on the collections multiples, which are booking the Q1 purchases that you gave us some data on that, so 2.4, 2.5. What were the comparable full year 2020 multiples for those measures? I think you gave us the MCM, it was at 2.5. What was that for 2020? And then, overall, was it 2.4 again? What are the comps on that?
Ashish Masih: Let me pull that up. So last year, the full year multiple was to 2.5 for MCM. For Europe, it was 2.9. And again, these are after some potential changes that may have happened through the year on ERC. But overall, for 2020, yeah, that was 2.5 and 2.9. And, Jon, you can add any color…
Jonathan Clark: MCM multiple was 2.5, so it is for the full year unchanged.
Ashish Masih: Correct. Yeah.
Mark Hughes: And then what was Europe in Q1?
Ashish Masih: 2.3.
Mark Hughes: 2.3, so from 2.9 to 2.3.
Ashish Masih: And Europe is, just to be clear, there's lot of diversity and kind of variants in the types of portfolios we buy in Europe and U.S. it's much more homogenous. So we buy paying, we buy nonpaying, we buy some secured and we by unsecured. So that mix can often heavily influence the multiple, right, and multiple is just one element of the returns which are very strong for us. Now, the cost to collect is also, for the corresponding portfolios quite different, as you know, Mark.
Mark Hughes: Yeah. Thank you very much.
Ashish Masih: You're welcome. Thank you.
Operator: [Operator Instructions] Next question is from Mike Grondahl from Northland Securities.
Unidentified Analyst: Thanks. This is Michael on from Mike. Thanks for taking our question. Maybe just one, on call center and digital, and more specifically digital, how do we think about that sort of competitive environment, customer going through there? And what that kind of margin profile looks like that that kind of that part of the business develops more?
Ashish Masih: So, Michael, the digital collections, that are kind of omni-channel combined with call centers I've mentioned before, and that continues to grow. Especially in MCM, we can easily see that trend is homogenous mix. It's growing for Cabot as well. The one thing I would point out is, in my prepared remarks, for example, we talked about the incremental collections that came for MCM in Q1, compared to the year ago. We got significantly higher collections. We've got about $61 million more collections and the expenses were $2 million or higher. So when consumers are calling us, we are engaging with them with our call center account managers, who are trained and kind of just - we can redirect them to inbound conversations or digital which is a kind of fixed cost channel. You can see the operating levers that comes through. So I will point out that one factoid, if you would that was in my prepared remarks, to show an example of kind of how much collections rows and impact on expenses for that. That's the best information we can provide. We do not provide other channel level kind of cost to collect the marginal costs to collect by channel.
Unidentified Analyst: Thanks, that's helpful.
Ashish Masih: Absolutely.
Operator: We don't have any questions at this time. I'll be handing it over to Mr. Masih.
Ashish Masih: Thank you. That concludes the call for today. Thanks for taking the time to join us. And we look forward to providing a second quarter 2021 results in August.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect.